Operator: Good morning, ladies and gentlemen. I would like to welcome everyone to Sleep Country’s Q4 and Full Year 2022 Results Conference Call. Yesterday, Sleep Country released their financial results for the fourth quarter of 2022. A copy of the earnings disclosure is available on their Investor Relations website, and includes cautionary language about forward-looking statements, risks and uncertainties, which also applies to the discussion during today’s conference call. I would now like to turn the call over to Stewart Schaefer, President and CEO. Please go ahead, sir.
Stewart Schaefer: Thank you, and good morning, everyone, and thank you for joining us. With me today is Craig De Pratto, our CFO. As we reflect on our Q4 and all of 2022, I'm incredibly proud of our diversified portfolio that allowed us to operate well in this challenging business environment. For the year, despite the shifting macroeconomic challenges, we are very pleased with our year-over-year revenue growth of 0.9% and a three year stacked same-store sales growth of 21.7%. I'm incredibly grateful to our entire team with all our powerful brands for the determination and hard work as we continue to position ourselves as the Leader in Sleep for Canada. In another unprecedented year, our teams remained focused on our purpose driven strategy and commitment to helping our customers get their best night sleep and our mission to deliver shareholder value by driving innovation and efficiencies that will position our company for sustainable growth for years to come. These are still very early days in our transformation that started three years ago and we are more confident in our leading position than ever before to continue to deliver impressive results. Our strategic investments over the last few years have transformed our business into the country's most powerful sleep ecosystem with leading brands and innovative sleep products across all our multiple channels. As our business continues to grow, so does our loyal following of customers who could shop for a full range of products at every price point where, when and wherever they choose to. We continue to invest in our infrastructure to manage our transforming business to drive best-in-class results in our supply chain, distribution, logistics and digital platforms that are quickly evolving to keep up with the ever changing needs of our customers always with a consumer lens to deliver an industry leading customer experience. We continued to expand our retail footprint in Q4 with two new store openings, bringing our total store count to 289 locations at the end of the year. We opened seven more Sleep Country/Dormez-vous Express stores in Walmart Supercentres increasing our store in-store presence to 17 locations and Hush received rave reviews for its first ever retail pop up at Yorkdale Shopping Center bringing its brand to life for thousands of customers. Stay tuned for our next leg of brick-and-mortar expansion. Subsequent to year-end, we were thrilled to welcome Silk & Snow to our growing family of sleep brands, closing the acquisition on January 1, 2023. Silk & Snow is one of Canada's fastest growing direct-to-consumer sleep retailers, that expands our world class teams and our portfolio of innovative products by offering a collection of thoughtfully procured sustainable and affordable luxury bedding, bedroom furniture and our first ever entry into bath products. Their purpose driven approach to beautiful product design and manufacturing coupled with their world class digital marketing aligns well with our strategic vision. As Canadians continue to fall in love with their brand, we are also excited to see Silk & Snow growing customer base in the United States, which today represents 25% of their sales. We continue to do incredible work with all our sleep brands in support of communities where we live and work with donations of $1.2 million in the year, including $720,000 worth of mattress, sheets, pillows and bedding to support Ukrainians displaced by the war and $50,000 worth of sleep essentials to the YWCA, Quebec and Montreal in Q4, so that women and children in need can benefit from the power of a good night sleep. We are incredibly proud of our workplace and culture recognition in Q4 with Sleep Country/Dormez-vous named as one of Canada's most admired corporate cultures for 2022 and Endy certification for the fourth consecutive year for a great place to work. These awards are a testament to our thriving culture and our ongoing commitment to equity, diversity, inclusion and belonging. As we look ahead, we are excited to see how our multi-year strategic plans continue to unfold as we continue to make investments in our people, brands, partners, distribution channels, innovative products always with a passion to enhance our customers' experience while delivering strong total shareholder returns. With a focus on investment in harnessing our data, we look forward to continuing to build on our relationships with our customers by thoughtfully procuring customized offerings that suits their every life stage, while maximizing our lifetime value of our loyal and growing customer base. With the strength of our balance sheet, our strong positive cash flow and our very profitable business, we look forward to and are patient to see a return in consumer confidence while always remaining opportunistic to drive growth and shareholder returns. Thank you once again to my fabulous teams at Sleep Country, Dormez-vous and Endy, Hush and Silk & Snow and to all our partners for their unwavering commitment and support for all our customers and our business. With that, I will now turn it over to Craig to discuss our financial results.
Craig De Pratto: Thank you, Stewart, and good morning, everyone. We finished our fiscal year with revenue growth of 0.9% while our Q4 revenues declined by 10.4%. Q4 revenues decreased by $28.2 million from $271.2 million in Q4 2021 to $243 million in Q4 2022. This decrease was mainly driven by an 11.5% decrease in same-store sales partially offset by incremental revenue earned from our Hush acquisition in late October 2021, four net new store openings in 2022 and a wrap stores that we opened in 2021. During the pandemic, in 2020 and 2021, the seasonality of our revenue was impacted by the mandated store closures, which resulted in a shift of our revenues to the latter half of both years in 2020 and 2021. As a result, our Q4 2022 same-store sales was comping over a two year stack same-store sales growth rate from Q4 2020 and Q4 2021 of 35.6%, with the negative same-store sales growth results in Q4 2022, we still achieved a strong three year stack same-store sales growth rate of 24.1% for the period ended Q4 2022 Our Q4 revenues from our e-commerce platforms increased by 20 basis points from 20.9% in Q4 2021 to 21.1% in Q4 2022. Moving on to gross profit. Our gross profit margin increased by 150 basis points from 36% in Q4 2021 to 37.5% in Q4 2022, mainly as a result of a series of strategic price increases, a significant portion of which was completed in the latter part of 2021 and continued into Q1 of 2022. This margin efficiency from higher AUSP was partially offset by the deleveraging occupancy and depreciation expenses tied to our retail store network and higher delivery, transportation and freight costs. Going forward, we expect the sequential step ups we have seen over the past year in gross profit to settle and be more consistent going forward and fluctuate based off of the seasonality in our business. Total G&A expenses increased by $1.2 million or 2.3% from $56.3 million in Q4 2021 to $57.5 million in Q4 2022. The increase is primarily as a result of increased dollar spend on media and advertising and an increase in depreciation expenses partially offset by lower professional fees, mattress recycling and donation expenses. EBITDA decreased by $6.6 million or 11.5% from $57.3 million in Q4 2021 to $50.7 million in Q4 2022. Adjusting our EBITDA for LTIP, ERP and acquisition-related costs, our operating EBITDA decreased by $9.1 million or 14.6% from $62.1 million in Q4 2021 to $53 million in Q4 2022. It should be noted that Q4 2022 adjustments to EBITDA of $2.3 million came in lower versus $4.8 million in Q4 2021. This resulted in our operating EBITDA margin decreasing by 110 basis points year-over-year. Finance related income and expenses decreased by $19.8 million from a net expense of $4.3 million in Q4 2021 to net finance income of $15.5 million in Q4 2022. This change was mainly driven by a $20.5 million adjustment as a result of writing down our liabilities related to the future purchase of the remaining 48% equity in Hush Blankets Inc. As a reminder, in Q4 2021, we purchased 52% of Hush Blankets with a commitment to purchase the remaining 48% in three equal increments of 16% over a three year period starting March 31, 2023. The consideration to be paid for each increment is calculated on expected earnings levels achieved over the earnout period. On the acquisition date in Q4 2021, we recorded liabilities in our books based off of our best estimates of the discounted forecasted earnings expected to be achieved from April 1, 2022 to March 31, 2025 based off of our latest evaluation of the forecasted earnings during the fixed earn-out period we determined that there would be a delay in the achievement and realization of the originally forecasted earnings levels, thereby resulting in this $20.5 million adjustment. At this time, the acquired Hush business is sound and profitable, and our valuation at the time of the business was acquired remains intact. On the tax front, we saw a decrease in our effective tax rate by 1,120 basis points from 28% in Q4 2021 to 16.8% in Q4 2022. The decrease in our tax rate was mainly driven by the $20.5 million adjustment to redemption liabilities related to the Hush acquisition as it is not deductible for tax purposes. We expect our tax rate in fiscal 2023 to return to our historical rates. Net income attributable to the company increased by $14.1 million from $26.4 million in Q4 2021 to $40.5 million in Q4 2022. Adjusting for LTIP, ERP and acquisition related costs as well as the Hush related accretion, which includes the $20.5 million adjustment to the redemption liabilities, adjusted net income attributable to the company decreased by $7.1 million from $31 million in Q4 2021 to $23.9 million in Q4 2022. Diluted adjusted earnings per share decreased by $0.16 or 19.3% from $0.83 in Q4 2021 to $0.67 in Q4 2022. Shifting to a summary of our annual results. Our revenues increased by $8.5 million or 0.9% to $928.7 million in 2022 from $920.2 million in 2021. The percentage of our revenues from our e-commerce platforms decreased 390 basis points from 23.5% in 2021 to 19.6% in 2022. Our annual gross profit margin increased by 220 basis points from 34.5% in 2021 to 36.7% in 2022. EBITDA increased by $11 million from $199.5 million in 2021 to $210.5 million in 2022 and operating EBITDA margin increased 60 basis points from 22.9% in 2021 to 23.5% in 2022. Net income attributable to the company increased by $21.9 million or 24.7% from $88.6 million in 2021 to $110.5 million in 2022, which is positively impacted by the $20.5 million adjustment to redemption liabilities due to the revised expected outcome related to the Hush acquisition. Adjusted net income attributable to the company increased by $4.6 million or 4.6% from $98.3 million in 2021 to $102.9 million in 2022. Lastly, diluted adjusted EPS increased by $0.17 or 6.4% from $2.64 in ‘21 to $2.81 in 2022. On to some capital allocation items on February 9, 2023, the Board declared a dividend of $0.215 per share, which was payable on February 28, 2023 to shareholders of record at the close of business on February 17, 2023. During the fourth quarter, we repurchased for cancellation 976,000 common shares for total consideration of $22 million. On an annual basis in 2022, we repurchased for cancellation approximately $2.3 million common shares for total consideration of $57.7 million. And subsequent to year-end in 2023, we repurchased an additional 126,000 common shares for total consideration of $3 million. Our current NCIB expires in March 2023 and we plan on filing a notice of intention with the TSX to commence a new NCIB in March 2023 to repurchase common shares at the company's discretion for up to 10% of the public float. Thank you. And I'll now pass the call back over to Stewart for closing remarks.
Stewart Schaefer: Thank you, Craig. Our performance in these challenging times demonstrates our ability to be agile and our commitment to our strategic plan as we continue to invest in building the most innovative and expansive product line up in channels in Canada and deliver growth for our business. Our sleep ecosystem is resilient and built to last. As we close out another successful year and look ahead, we are positioned to lead Canada's sleep space with the best assortment of mattresses, sleep accessories and the most relevant brands and distribution channels that reach every customer. We are steadfast in our commitment to investing in our multiyear strategic plan, driving results and delivering the best omnichannel experience for our customers. Thank you again to our teams, partners and shareholders for all your contribution in Q4 and 2022. With that, we conclude our remarks and open the floor for questions. Thank you.
Operator: Thank you, sir. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question will come from Stephen MacLeod at BMO Capital Markets. Please go ahead.
Stephen MacLeod: Thank you. Good morning, guys.
Stewart Schaefer: Good morning, Steve.
Stephen MacLeod: Just wanted to follow up on a couple of things. Just wondering if you can give a little bit of in-quarter color just around what you saw with respect to consumer purchasing, whether by timing or by product line? And then as an add-on to that, just sort of what you're seeing on a quarter-to-date basis, if you're able to give any incremental color there?
Stewart Schaefer: Sure. So Q4 was very choppy. And obviously, we saw that starting in Q3. And I say, very choppy because from day-to-day, it was bouncing around like Black Friday and Cyber Monday were two very powerful and strong days, but leading up to it was quieter than normal. So it seems as though the consumer was waiting for those days. October was a little bit softer. November, a little bit stronger. And December, I don't know, if the world was waiting for some Santa Claus rally or something, but it seemed to peter out, especially towards the end. The end of December, the last couple of weeks, unfortunately, we were hit with terrible weather across the country. And interestingly enough, we definitely felt a shift and question whether that the stay-at-home economy shifted to an experienced economy with share of wallet shifting to travel. So that -- it softened up quite a bit the last two weeks. That being said, January and February, still soft, but pockets of growth in some parts of the country and softer in other parts of the country. So it's -- our business usually is quite consistent across the entire country. We have not seen that consistency. Also, I'll give you one other tidbit, Steve. Interestingly enough, the fourth quarter, we saw our units of mattresses dropping and our business dropping on mattresses, but our accessories were pretty flat. And that's coming-off of a very strong Q4 from the previous year. And the accessories that were being purchased were mid to high-end accessories. So we actually love that because that gives a bit of an indication of the consumer, maybe they're pausing on their mattress purchase because of the economic uncertainty and the media of all the negativity that is a recession coming or are we already in a recession. But for us, as long as we see that flow of customers and the transactions with our customers, even if it's for accessories, we get bullish on that because we think that's a lead generator that when the consumer confidence returns for the bigger ticket items, they've already made a decision to cross our lease line or online or in store and shop with us. So it's been an interesting time.
Craig De Pratto: Yes. And then just one thing, I just want to point out on the accessory front that Stu touched on is, when we look at the full year growth, we're up about 9.2% in the accessories category, and that's off of a prior year growth of 28.6%. So it's showing good momentum. And again, to Stu's point, because some of the seasonality in our business because of the closures over 2020 and 2021, there was some big comps and big numbers to roll over in Q4. But I just want to put in perspective the growth we've been seeing in the accessories for a few years now.
Stephen MacLeod: Okay. That's great color. Thank you. And then maybe secondly, you talked about in the prepared remarks, Stewart, the next leg of your brick-and-mortar expansion. Are you referring to sort of new store formats in that comment or something else?
Stewart Schaefer: Good on you, Steve, to pick that up. Yes and yes. So, we're getting very close to launching our new store concept. We're hoping that we're going to put out a couple of prototypes in the end of Q2. And we're going to pause and test and see that it drives a higher contribution per square foot as we hope and planned. Also, Hush and what we experienced in the Yorkdale Mall, and yes, that is one of the top malls in Canada. But that experience as it drove our online business as well as the transaction in store, there is conversations right now about an omnichannel approach with some of our brands.
Stephen MacLeod: Do you mean offering some of your brands at the store level as well as online?
Stewart Schaefer: No. I'm saying that, independently...
Stephen MacLeod: I see.
Stewart Schaefer: Should look forward to hopefully seeing the brands themselves creating their own brick-and-mortar extension.
Stephen MacLeod: Interesting. Okay. Great. Well, thanks, guys. I’ll go back in line, if I have any other. Appreciate it. Thanks.
Stewart Schaefer: Thanks, Stephen.
Operator: Your next question comes from Martin Landry at Stifel GMP. Please go ahead.
Martin Landry: Hi. Good morning, guys.
Stewart Schaefer: Good morning.
Martin Landry: I was wondering if you can help us a little bit understand where we are with regards to industry volumes. There's been a bit of pull forward with the pandemic. But if we look at now that 2022 is wrapped up, where our industry volumes, industry units of mattresses? And how do they compare to 2019, let's say, the pre-pandemic levels?
Stewart Schaefer: 2019? [Multiple Speakers]
Martin Landry: Yes, I'm just trying to see, yes, if are we like way above pre-pandemic levels? Are we just a normal growth versus pre-pandemic level difficult to understand a little for us where we stand in the cycle?
Stewart Schaefer: Yeah. So glad to get back to you with specifics, and we could do that on a call, Martin. But in general, I will tell you, I could answer you less about the industry and more about our market share. And so the amount of units for us has grown substantially since 2019. Keep in mind the expansion of our business and the channels, not only have we taken more market share in the legacy business of Sleep Country and Dormez-vous. But since then, we have taken on Endy. Since then, we have taken on Hush. Since then, we've expanded our channels of distribution with Walmart, Best Buy and Loblaws. Since then, we have brought Purple in Casper and Silk & Snow into the fold. So again, I don't know unit-wise over the entire industry, but in the world of Sleep Country Canada, our unit growth is substantially higher.
Martin Landry: Okay. And you've touched a little bit about January, February, and I know that you don't have a crystal ball, but you've made -- you've done your budget for 2022 -- 2023. What do you expect? Are you expecting sales of your -- without Silk & Snows sales of your legacy businesses to be down, to be up this year? Like, how are you approaching '23?
Stewart Schaefer: We don't give guidance, and we don't have a crystal ball, but I'll try to give a little bit of color, Martin, just because it's a general conversation that every retailer is having. The third and fourth quarter was soft coming off of huge numbers, but still a little bit soft. The year has started soft. Everybody is waiting for the Fed to pivot. If they pivot, then maybe it'll give some confidence back to the consumer and they'll come back shopping. The first half, we predict, I think like everybody else, that it will be a little bit softer and hoping that the back half will be a little bit stronger. What I will say, which has been interesting after being in this business for 29 years, is that if this is a recession, and who knows, I've never seen the consumer as -- and I don't want to use the word strong, but I'll say, stable as we're seeing today. And I've never seen unemployment as low as it is today, even though, obviously, that's changing day-to-day with a lot of the corporate layoffs. And usually, we have an indication if the customer, and I think I've said this in the past are trading down on product in terms of price points, which we're not seeing. And I said before, I prefer a pause. And the fact that they're actually buying accessories, and the accessories that they're buying are mid to high end, which is to remind everyone that our margins on our accessories are 10 points higher than they are on our mattresses, it is a very complicated guess for us of what -- how the year is going to unfold. So we're cautiously optimistic for the back half of the year.
Martin Landry: Okay. And then last question on Silk & Snow. The company seems to be growing quite rapidly when you look at the website traffic. I was wondering, is there a product in particular that is making the bulk of the sales or a product that is driving recent success, or it's broad-based?
Stewart Schaefer: Well, I wouldn't give you that answer anyway, Martin, because our competition is listening. But I will say that this talented group and their thoughtfulness in terms of how they procure these luxury items at unbelievable, affordable pricing is seeing growth right across all channels, all part of their merchandising hierarchy, and the team is quite unique and special. We've been quite fortunate over the last three years, besides building up our own digital teams within the Sleep Country, Dormez-vous brand, Andy, Hush and Silk & Snow seem to all have their differentiating points that brings an extra special something to how they approach the market. And as we grow together as one team, a lot of those shared expertise are being shared across the different channels of distribution.
Martin Landry: Okay. That’s it for me. Thank you.
Stewart Schaefer: Thanks, Martin.
Operator: Your next question comes from John Zamparo of CIBC. Please go ahead.
John Zamparo: Thank you. Good morning.
Stewart Schaefer: Good morning, John.
John Zamparo: I wanted to start with the outlook and specifically, that references significant investments you're looking to make to strength omnichannel and digital. And my question here is that you've made some nice gains in this area over the past few years. So I wonder what it is you feel you're missing right now, or what specific aspects you feel you could improve?
Stewart Schaefer: We're always improving, John. I mean, first of all, we follow the consumer, and that's our North Star, and how the consumer is shifting and changing. I mean there's no secret that over the last few weeks, everyone is talking about AI and what that is going to do in terms of unfolding in business. I will say that we've seen a lot of changes and advancements in our own business. We're excited that we're actually about to pivot and shift. And we're working on right now our Oracle platform for the Sleep Country Dormez-vous business on our e-commerce business has been a powerful force for us, but we are now in the process of shifting to BigCommerce, which hopefully is going to happen in the third quarter. And a lot of it is around the tools that we'll be able to drive a greater conversion in our business. Also, and I've said this multiple times, a big part of the investment that we've been making is on our data. We have never been fabulous at harnessing our data. The exciting point of directionally where we're going is not only will we be able to harness our data and engage with our customers in a more intelligent and thoughtful way, but the multiple platforms and the expanding customer base with all our brands makes the future very interesting once we could get that going well.
John Zamparo: Okay. Understood. On the Walmart pilot, I wonder what you're willing to share about the EBITDA contribution from these stores versus your traditional stores and how it's evolved? And you've now moved from 10 to 17 of these. Do you have a target in mind for this year? And is there a point at which these are just stores rather than a pilot? Like is there a point at which an inflex and this is just part of the new business model?
Stewart Schaefer: Yeah. It's hard to call it. And we've had internal conversations around that because we still carve it out. And we carve it out mainly because, on a square foot basis, we're happy on how it's performing, except just, in comparison, these are 500 and 700 square foot stores compared to our 5,000 square foot store. So we're going to try to figure out so that it's easier for all of you to evaluate that. And Craig, maybe you could give a little bit of color around that. That being said, it's also hard to even break out the contribution on EBITDA that it is driving for us because the wonderful thing about these store in stores, Express stores, is that part of the business is transacting in that Walmart location, but it's also a huge lead generator through a VIP program that we're in partnership with Walmart that drives the customer to our stores. So it's a measurement not just what transacts in that location, but it's a measurement what transact in the surrounding stores in that location.
Craig De Pratto: Yeah. And then I'll just comment on the breakout kind of going forward, how we're thinking about it. This next phase that we've just opened was really a continuation of the first pilot, obviously positive direction. But as we refine the growth going forward and understand what this will do for our business in the future, so at that point, we will look to potentially break this out or roll it into our comp base. So more to come once we refine exactly what the plan is going forward post the pilot.
John Zamparo: Okay. That's helpful. And is there a range of stores you plan to open in Walmart this year?
Stewart Schaefer: I could say that we've identified with the Walmart folks and our -- and Phil Bezner, our Head of Business Development here, potentially, over the next few years, 80 to 100 locations. I'm not saying that we committed to that. But based on the strategic reasons why we're doing this based on our geographical footprint and how it feeds certain stores in certain regions that potentially could be our North Star.
John Zamparo: Got it. Okay. And just one more on capital allocation. And you have lots planned internally this year. It's going to be an elevated year for CapEx. You do have significant capital returns. But I wonder whether you or the Board thinks about something more significant than what you already have planned when you see the stock where it is, and when you see the multiple where it is especially relative to your U.S. peers or is it that the M&A environment is just considered so attractive at the moment that you want to maintain that optionality? Any thoughts there would be helpful.
Craig De Pratto: Yeah. I think the latter is really, we've try to start establishing the track record around an NCIB, but we always want to use discretion around how we execute that throughout the year based off of how we're trading, obviously, from a multiple perspective, we think that it's been a great use of capital over the last 12 months, and we're proud to put about $60 million towards it in the last 12 months. I think going forward, we always -- this past year was light on CapEx. Next year, we do have the new concept stores, and we plan to roll those out in the back half of the year. So there will be an increase there. And we do, right now, because our multiples are down along with a lot of others, there's a lot of things coming across our desk, and we want to have flexibility and some dry powder to be flexible should something interesting come along.
Stewart Schaefer: I'll also add, John, and more to directly to your question and the Board. Obviously, we just finished our Board meeting yesterday. There was some -- we have an incredibly impressive Board, with a lot of strength that they bring to the table. And obviously, with the strength of our balance sheet, the optionality, where our stock price is today and the multiple that we're trading at, which is at the historical low of roughly a 5.5% EBITDA, and on a company that is putting out a legacy business that is 29 years old, that's putting out double-digit growth numbers over the last few years, that has transformed from just a brick-and-mortar to a digital brick-and-mortar leader that has enormous amount of flexibility, yes, there's a lot of conversations on what is the best option. And that's -- that's, I guess, the exciting point of where we are, how do we return great shareholder value and make the smartest investments that we possibly can? So there's a lot of discussions going on around that.
John Zamparo: Okay. Appreciate the color. That’s all for me. Thank you.
Stewart Schaefer: Thanks, John.
Craig De Pratto: Thanks, John.
Operator: [Operator Instructions] Your next question will come from Brian Morrison at TD Securities. Please go ahead.
Brian Morrison: Hey. Good morning.
Stewart Schaefer: Good morning, Brian. Welcome, Brian.
Brian Morrison: Thank you. Welcome back.
Stewart Schaefer: Yeah. Thank you.
Brian Morrison: Yes. I want to follow up on your return of capital to shareholder question there and surplus capital. Would one of those alternatives potentially be an SIB and taking advantage in a meaningful way during the industry downturn? You certainly have the balance sheet to facilitate.
Stewart Schaefer: I'm not going to answer that, but I will say that everything is on the table, Brian.
Brian Morrison: Okay. And then I guess a follow-up with respect to your omnichannel expansion into brick-and-mortar for certain brands. I'm just trying to understand if you had any thought of doing a -- I realize you run it independently, but any thought of doing a store in store for Sleep Country or would that just be diminished the brand name?
Stewart Schaefer: There's a lot of conversations that are going on around this. And we are feeling very comfortable of the prospects of what we can do as an omnichannel player in the sleep space. It was clear in 2020, 2021 that if you weren't in the e-commerce business, you were probably out of business as the whole world shifted online. 2022, worldwide, you saw a drop in e-commerce and a return to the brick-and-mortar. We believe that we are in a really incredible position and advantage because: one, we offer the full experience to the customers so they could shop any way they want; but two, what we're really good at and one of the reasons we've done these acquisitions is these are brands and powerful on their own and driving a lot of loyal customers. So Sleep Country stores are a house of brands and these are brands on their own. So we can bring it in a store in store, and that's always a possibility or in the eyes of the consumer because that's what we always look at the consumer lens, is do we want to create optionality for consumers who want the shopping brick-and-mortar experience. The experience online for an Endy, Hush and Silk & Snow is also not the same experience on Sleep Country's websites, and that's by design. The customer segmentations are not exactly the same thing either, and that's by design. The price points and the merchandising is not exactly the same, and that's by design. I mean, we want to expand and grow our customer segmentations and cycles of life and different demographics. And we think we could do that better with potentially multiple brands as potential standalones. We do think there's an opportunity to do things close to our stores to bring the power of the traffic into our ecosystem. But again, this is early days. This is all based on a test that we've done with Hush and their stores, but something we've been talking about for the past year.
Brian Morrison: Thank you for the color. Thanks very much.
Stewart Schaefer: Thank you.
Operator: There are no further questions from the phone line. So I will turn the conference back to Mr. Shaffer for any closing remarks.
Stewart Schaefer: Thank you again, everyone. We appreciate the continued support and we look forward to getting back to you after our Q1 results. Have a good weekend, everyone.
Operator: Ladies and gentlemen, this does conclude the conference call for this morning. We would like to thank you all for participating and ask you to please disconnect your lines.